Operator: Welcome to the MPC Container Ships Q3 Report for 2023. For the first part of this call, all participants are in a listen-only mode. Afterwards, there will be a question-and-answer session. [Operator Instructions] This call is being recorded. I will now turn the call over to the speakers. Please begin.
Constantin Baack: Thank you, operator. Good afternoon and good morning, everyone. This is Constantin Baack, CEO of MPC Container Ships and I am joined by our CFO, Moritz Fuhrmann. I would like to welcome you to our Q3 2023 earnings call. Thank you for joining us today to discuss MPC Container Ships’ third quarter earnings. This morning, we have issued stock market announcement covering MPCC’s third quarter results for the period ending September 30, 2023. The release as well as the accompanying presentation for this conference call are available on the Investor section of our website. Please be advised that the material provided and our discussion today contain forward-looking statements and indicative figures. Actual results may differ materially from those stated or implied by forward-looking statements due to the risks and uncertainties associated with our business. A few introductory words from my side before we start with today’s presentation. We are pleased to present another solid performance and the strong third quarter financial results. Our consistent positive performance, despite a gradual decline in container market is a testament to our robust backlog, successful chartering activity, and sustained good operational performance owing to the unwavering dedication and great efforts from our entire team onshore as well as the crews on board of our vessels. Given the prevailing uncertainty in the container market outlook, our focus remains on maintaining prudent capital allocation and enhancing long-term shareholder value. And we remain in an ideal position to balance strategic and selective fleet measures with continued attractive shareholder returns. We will now guide you through a more detailed review of the third quarter, provide a market outlook as well as the company outlook during today’s presentation. And on this note, I would like to hand over to our CFO, Moritz Fuhrmann who runs you through the first agenda point.
Moritz Fuhrmann: Thank you, Constantin. Let us start with some highlights of Q3. Obviously happy to report yet another strong quarter, both financially and operationally with another dividend distribution as the Board declared another dividend of $0.14 for Q3. On the back of the strong financial performance, we also increased full year ‘23 financial guidance to $690 million to $700 million for revenues and $500 million to $550 million for EBITDA. The leverage remains very low on the balance sheet, while we started to dispose older non-core assets and bolstering liquidity on the balance sheet. Looking at the most recent development in the container market, there is obviously a softening both in rates and asset values that we see. However, the most recent fixtures that we’ve done since the last reporting indicates still healthy levels for our ships, especially in the feeder segment. And overall and despite the recent market developments, MPCC remains in a very competitive position, both with a strong balance sheet, but also the ability to execute on strategic measures in accordance with the shareholder returns. Let us turn the attention to some of the KPIs that we reported in Q3. As you can see financially, gross revenue, adjusted EBITDA and adjusted net profit are more or less in line with the previous quarters have. Worth to mention is the adjustments that we made this quarter. So we normalized impairments that we recorded on some of the vessel sales this quarter. So, the net profit that came in is around $68 million, but again, adjusted for non-recurring items we are looking at $82 million in line with previous quarters. On the balance sheet, both net debt but also leverage ratio is slightly up from previous quarter as we incurred some more debt in accordance with the acquisition of the eco vessels this summer. But going forward, we expect the leverage ratio to go down again as we intend to repay some of the existing debt. And looking some of the operational KPIs, as you can see, our OpEx is slightly up from last quarter. This is mostly driven by COVID-related expenses on our ships, but also more one-off items in relation to insurance costs that we don’t expect to see in the coming quarter, but obviously very happy to see the high utilization of the vessels of close to 99%, which also is a testament to the operational reliability of our fleet. Turning to the active portfolio management both operationally and commercially, Q3 has been a very busy quarter. We started our preparatory work for compliance in ‘24. We will initiate a retrofitting program in ‘24 relating to 13 of our vessels, with the total expected investment volume of $17.5 million. We expect significant fuel savings from those measures in the tune of 10% to 15%. And obviously worth to mention that this is in conjunction with our customers, meaning this will be a joint effort. The fleet remains in full compliance with EEXI and CII regulations as we speak. And the company is well prepared for the EU ETS regime that will be effective as of January 2024. Looking at the commercial update since last reporting, we can report five pictures, obviously very happy to see the rate levels. Still, it’s at decent levels, calling five figures. However, we see that durations are normalizing especially relative to the last 24 months. But we can still report good levels of between 5 to 6 months, but also up to 1 year. Worth to mention is the AS CLEMENTINA. This is a forward fixture. So initially coming up in ‘24. We together with the customer agreed an early extension up until May 26, July 26, adding significant backlog to the overall picture. But also worth to mention that this is a blended rate going forward and meaning that the current rate is blended together with the $12,000 that we fixed forward. So overall, we were looking at the rate of around $21,000 up until May 26, also actively managing some of our 24 position shifting into 26. At the same time, we have other constructive discussions with our customers looking at some of the 24 position and discussing some of what measures to be taken, hopefully rather sooner than later. Turning to the next page and looking at the portfolio optimization that we kicked off earlier this year. Overall, we can report 13 vessel sales versus 7 acquisitions year-to-date. So since the last reporting, we have been selling another 8 vessels in addition to the AS Emma reported in the summer of ‘23. Important to note obviously is that we managed to significantly bring down the average age of the fleet. So, the vessels that we sold are around 18 years of age, while the vessels that we acquired around 7.5 years. And while we reduced the overall capacity, we significantly increased the overall available days on the fleet by roughly 30%. Looking at the right hand side, you can see the respective vessel sales. I just mentioned 8 further sales since summer of ‘23 for a total consideration of $61 million. Four of those shifts have already been delivered to the new owners, while the remainder is expected to be delivered in Q4 ‘23, but also Q1 ‘24. And it’s worthwhile to mention that we are not just selling non-core assets, we are also actively managing ‘24 open charter positions, but also ‘24 dry-docking positions. The vessel proceeds will be applied to reduce debt on the balance sheet, but will also bolster liquidity going into ‘24. Looking at the next slide and some highlights on the cash flow, obviously very strong operational cash flow with around $135 million. A chunk of that has been used for acquiring the new ships. So since the summer we have taken delivery of 4 eco vessels, but we have also invested into the existing fleet. And we have also financed those acquisitions through loans. So as you can see, we drawdown debts in the tune of $120 million since last summer under acquisition financing that we agreed in the summer but also under a lease agreement with the Chinese lessor. And at the same time, as just previously mentioned, we also started reducing debt again, repaying some of the existing facilities that are currently priced at around 8.5%, 9% all-in. Turning to the next slide, we are illustrating the significant shareholder return that we provided to shareholders since Q4 ‘21. Based on the $0.14 dividend that was just declared by the Board, which is roughly $62 million in total, we bring the total dividend paid to shareholders to $730 million. For the year ‘22, this is roughly a dividend yield of close to 50% and the year-to-date dividend yield of a very compelling 43%. As you can see, that since the summer, we have been slightly reducing the event-driven distributions from vessel sales. As mentioned before, funds from vessel sales are mostly applied to reducing debt, but also bolstering liquidity on the balance sheet going into ‘24 and ‘25. But most importantly to note for investors is that we remain committed to our dividend policy of distributing 75% of the adjusted net earnings back to shareholders. And on that note, I am handing back to Constantin for some updates on the market.
Constantin Baack: Thank you, Morris. I would like to continue with a brief market update. So please turn to the next slide, Slide 10. Looking at the global economy with global inflation and high interest rates, it is certainly more difficult to take a positive view in the short-term despite the IMF outlook for the global economy being around historical averages. Let me continue with some observations from the container freight market and a look at our customers, the line operators or carriers. Whilst container volumes are pretty much back to pre-COVID levels, freight rates are presently the area of concern to our customers and the profitability outlook, hence it’s not great. Having said that, our customers’ financial standing is historically solid. On the graph on the right hand side, you can see certain KPIs comparing 2019 levels to 2023 levels in terms of net debt to equity ratio being the blue line, cash and cash equivalents as well as equity. As one can see that strong market periods of 2021 and 2022 have been used by our customers to carry us to significantly strengthen balance sheets and we are in an environment where our customers have historically strong balance sheets. Let me continue with some more detailed updates on the next slide in terms of the markets that are relevant for us, more specifically, the key market parameters, secondhand prices, charter rates and new building prices on the left hand side. Looking at the chart, it becomes apparent that S&P prices and charter rates and charter periods for that matter have also come down significantly from the historic highs. Activity in the market is also slightly slower, but things can get done at decent levels, as Moritz has stated earlier in the charter update for our very fleet. Going forward, we expect asset prices to continue to follow the downward trend of the freight market and charter markets in the near-term. Idle fleet on the right hand side is still at low levels in the historical context. However since the beginning of September, there has been a noticeable increase in the number of idle vessels with currently around 120 vessels representing around 440,000 TEU being idle as of early November 2023. The majority of the idle fleet is concentrated in the slightly smaller sizes mirroring the tonnage availability in the charter market, but that is not particularly unusual picture looking at the market historically. Let me continue on the next slide, Slide 12 where we look at – take a closer look at the demand and supply dynamics for the overall market on the left hand side looking at the market development for ‘23, ‘24, and ‘25, over supply is expected to be present based on a significant order book in particular on the larger sizes. So what we show here is the red line being supply growth, i.e., capacity in the market and the blue line being demand growth obviously linked to drivers like GDP growth, etcetera. It does not account for any kind of wildcard factors influencing supply such as slow steaming, yard capacity utilization, adjustment of trade rotations, cascading, or nearshoring, etcetera nor for additional demand wildcards like geopolitical turmoil. Looking away from the more global market, total market to some of the intricacies of intra-regional trades in the order book, please look at the right hand side where we have on the top illustrated the development of the total market and specifically the development from a demand perspective of the intra-regional trades. What is expected is relatively stronger demand growth due to the interconnectivity reshuffling of supply chains, etcetera for the intra-regional market. This has also been the case historically as you can see from the graph on the top right. Looking at the supply side in terms of order book composition, one can see that the order book is very much skewed towards the large container vessel sizes. Out of the order book of a total roughly 7 million TEU, more than three quarters – around three quarters actually is in the larger segments above 8000 TEU. Hence, the dynamics are comparably more favorable for the intra-regional trades and for the smaller vessel sizes looking ahead. Nonetheless, the pressure resulting from the huge order book in the larger size segments must be closely monitored for intra-regional trades as well since larger vessels will most likely also cascade into other trade lanes within the given physical boundaries. Let me continue on Slide 13. Here we have included an analysis of the age profiles of the vessels on the water on the left hand side by TEU different classes and compare that also with the order book. What you can see with a gray shade is the area where MPCC is, so where we have our focus and let me run you through some of the details of this analysis. Overall, the order book is sizable with more than 30% of the fleet on the water. The order book is very much geared towards the very large ships, as I’ve mentioned. And so, looking forward, we expect limited recycling capacity or potential from the larger units above 12,000 TEU as most of them have been built from 2010 onwards. In the smaller sized segments, the order book is not significant compared to the aging fleet. In our view over the next 3 years, the fleet will actually be insufficient to service the needs of the market. And if you look at it in a bit more detail, more than 1,000 vessels below 3000 TEU are above 20 years of age, which obviously is a very significant number. We expect substantial scrapping around 1,000 TEU segment plus minus as vessels will not be able also to comply with the long-term regulatory environment – environmental requirements and retrofit investments seem less promising for the smaller sizes. On the right hand side, we have compared the order book to fleet ratio with the average age of the fleet you can see the red box showing kind of basically the larger vessels where the order book to fleet ratio is 30% up to almost 70% in the very large sizes. And on the X axis you can see what percentage of the fleet on the water is actually above 20 years of age. And you can see that the dynamics look way more favorable for the smaller sizes, i.e., the sizes in which we are invested. Let me continue with a few more details on ship recycling and dynamics that we foresee going forward. Time charter rates, market expectations and obviously also the cash reserves of the owners are the key drivers behind recycling volumes. During the past years and that you can see on the right hand side, the average scrapping age has shot up from the record low of around 19 years to value close to its all time high of 29 years in 2023 so far at least. We went from an all-time high of around 650,000 TEU scrapping in 2016 to essentially negligible amounts in the recent 3 years, i.e., building up the need for further recycling. As a result, the fleet has grown substantially old, as you can see on the bottom left, and now, the industry is facing somewhat of a double whammy, where we have a combination of the oldest ever containership fleet with feeder vessels, even exceeding the average age, which is now running until more stringent environmental regulation environment with more also stakeholder demands. And we expect that this will lead to significantly higher scrubbing figures over the next couple of years. As things stand currently, these developments will increasingly favor modern units in the years to come or retrofitted units for that matter. And we believe developments like CII rating EU ETS, Fuel EU maritime will significantly require additional investments into the fleet and/or replacement of the fleet. As a result, we believe that there will be tremendous pressure on owners of older vessels 20 years plus, especially for the smaller units as these vessels will find it more difficult to comply in the long-term. Moving from the market update to the company outlook, please move to Slide 16, where we saw the charter backlog for 2024 and beyond. This is a graphic that we have shown in the previous quarters. And the graph on the left hand side shows the backlog in terms of days contracted for Q4 2023, were basically sold out and we have for 2024, 2025 and 2026. A reducing backlog still a backlog on a very solid level for next year, we have 67% of the days covered at an average rate of around $30,000 with a revenue bought backlog of around $385 million secured for next year. And 25% of the days for 2025 also already covered at an average rate of $35,000 per day, or $180 million secured for 2025. That in itself is that in some is a backlog on the revenue side of around $1 billion and on the basis of the projected EBITDA figure of around point $7 billion for the years ahead. On the right hand side, we have illustrated the counterparties that we have for this backlog. As you can see, roughly 85% of the revenue backlog is either with top 10 liner companies or cargo backed. So we have a very strong counterparty profile. And as I mentioned earlier, the carriers are financially in a very solid state. In addition, our backlog has a remaining average contract duration of between 1.5 and 2 years. So that is also something that we believe puts us in a very strong position when it comes to the value of our backlog going forward. Let me continue on Slide 17, where we have illustrated some of the strategic execution that we have done over the last couple of years, basically the last 2 years. Slide 17 shows the development of a few key elements, putting the measures taken over the past 2 years into context. In terms of our overall strategy, let me start with the distributions. On the left hand side, you can see Q3 2021 and on the right hand side you can see Q3 2023 and how that has evolved. We have distributed or declared $732 million to investors, including this quarter’s dividend over the last 2 years, which is a very significant amount. In terms of our financial structure and leverage, we look at unencumbered vessels and leverage ratio. Once we had only three vessels unencumbered end of 2021, we have continuously freed up collateral and now have 22 vessels unencumbered providing us with high discretion about capital allocation decisions and a great balance sheet flexibility. At the same time, we have reduced the overall leverage from 35% to only 17% in Q3 2023. And we expect to reduce this figure further until the end 2023. Finally, if you look at the fleet composition at the bottom of this slide, worth noting that we have also shifted and renewed our fleet over the last couple of years. Once we have paid the significant dividends and have optimized our balance sheet as we have moved away from purely conventional secondhand tonnage. By also bringing in four newbuilds five equal vessels, as well as the retrofitting program that Moritz has alluded to earlier, where we will improve the vessels compared to conventional ships and carry out significant investment into our fleet. And hence balancing our fleet composition more towards what we define as eco retrofitted, or newbuilding vessels. Overall, we firmly believe that the right balance between returning capital to investors operating at a low to moderate leverage, yet being positioned to utilize market opportunities investing in our own feet is the way to run our company, and the very attractive operating model. Let me continue on Slide 18, where we talk a bit more about our leverage strategy and the leverage going forward. What you can see here is on the left hand side where the box is our trading feet, i.e., the vessels on the water as we speak, we have starting from left to right collateral package of 43 vessels in different financings where we have debt outstanding of as per the balance sheet debt of around $170 million, we have available headroom under existing revolving credit facilities of $35 million, which is undrawn. And that is, as I said, collateralized with in total 43 vessels that have charter free market value, according to vessels value of $530 million and a projected EBITDA backlog of around $320 million.  Furthermore, we have 22 unencumbered vessels with a market value of $200 million and EBITDA backlog of around $140 million, showing that we have quite some flexibility in the trading fleet. If you then look at the at the right hand side of this graph being our newbuilds, we have very selectively carried out some newbuilding transactions, but always transactions where we have a very significant de risking of the construction costs. So we have actually secured a higher EBITDA with a initial contract than the actual construction cost, i.e., de risking the project over the course of the initial charter. And those – on the back of those parameters, we have taken out financings, one financing is closed. The other financing is still subject to final closing but the term sheet is signed and agreed. The maximum initial debt advance on those vessels on those four vessels is $156 million to be drawn going forward. So what does that mean? Where does that leave us? It leaves us at a continuation of our delivering strategy when it comes to our balance sheet with further debt repayments on the trading fleet moving forward. We have no significant debt maturities up until 2027 puts us which puts us in a very good position. We have a significant capacity in the balance sheet with 22 unencumbered vessels. And we have a weighted average margin of around 250 bps across all financings and a cash balance of more than $100 million as per the balance sheet date as well as available RCF capacity of $35 million putting us into a very comfortable position when looking at our balance sheet. Now, let me continue with Slide 19, where we look at kind of our value proposition and protection of our enterprise value with different parameters as well as open rate sensitivity. Let me start on the left hand side looking at the protection of coverage of our enterprise value from left to right, you can see we operate with a net interest-bearing debt as per balance sheet date of roughly $70 million adding the market cap to arrive at the EV, the enterprise value which already is protected by the project at EBITDA backlog leaving aside any value for the fleet of 60 vessels plus on the water. In addition, we’ve – as we announced earlier, we have sold a few vessels and the proceeds have been added accordingly, meaning there us already from these kinds of transactions in excess value above current EV. In addition, that’s obviously the fleets that we still have that comes with a value attached. Current charter fleet value is around $830 million to $850 million providing additional upside potential. On the right hand side, we have run a rate sensitivity in line with previous quarters where we looked at the – already fixed days for ‘24 and ‘25 with obviously the fixed rate and have looked at the open days, based on 10 year historical averages according to Clarkson’s and current market rates for our vessel basket, translating into the respective open rates sensitivities in terms of operating revenues and net profit. More assumptions to that are in the footnotes on one of the slides in the appendices. This translates into an implied dividend yield for 2024 depending on your assumption on either current market rates or historical average is somewhere around 30% for next year, and between 12% and 20% for 2025 worth noting that the 2025 yields mentioned here, obviously, based on today’s market cap, and do not consider the dividends expected for next year based on the implied dividend yield mentioned earlier. Looking at kind of a short round up, we believe we have – we are well positioned going forward, we will continue to place a strong emphasis on creating shareholder value by focusing on transactions that are accretive we will be very selective in the market going forward, we will continue to operate on a low leverage and execute fleet optimization in light of a still softening market, which however, should also provide attractive opportunities down the road. Which, however, we will only follow very, very selectively in this environment, we continue to work our way through our robust revenue backlog with very significant earnings visibility for 2024. And we believe we are very well positioned for the future, and look forward to continue our path on returning capital to investors. And on that note, I would like to hand back to the operator. And thank you for your attention so far.
Operator: Thank you. [Operator Instructions] There appears to be no question on the telephone line at this moment. So I’ll hand it back to the speakers for any written questions.
Moritz Fuhrmann: Thank you, operator. We have a few questions through the web. Let me start with the first question. That is around the expected order book deliveries for 2024. As we’ve shown on one of the slides in the presentation, there’s obviously a net supply growth. For the next couple of years, somewhere between 6% and 7.5% percent is expected that obviously on a net basis, meaning including expected recycling values as well as potential slippage on a gross basis, the order book that gets delivered in 2024, somewhere between 10% and 11%. And for 2025 currently, it’s around 6% to 7%, which in turn and as alluded to earlier, is mainly geared towards the very large ships which make up the big chunk of the order book. And I would like to refer to Slide 12, where we have shown the overall order book of 7 million TEU being 75% composed of vessels above 8,000 TEU.  That’s the first question. The second question is around our collaboration with INERATEC. So the collaboration with INERATEC, how do you see it in the future? What will be the cost savings by upgrading the ships to this kind of fuels? First of all, INERATEC is a provider of synthetic fuels. They are currently ramping up the production we have agreed on a framework agreement to obtain certain volumes in an offtake agreement as of the latter half of 2024. The benefit of these – if fuels or synthetic fuels is that we don’t need to do any upgrades on our ships because if it’s synthetic diesel for example, we can run it on the existing ships. So the benefit would actually be prolongation of the useful life of our ships, under the new regulatory scheme. So, that would be the benefit and there would not really be cost savings. We would obviously do that hand-in-hand with our chartering partners. But in general that has an interesting optionality when it comes to the remaining useful life of ships under the existing regulatory scheme as I have said earlier.
Moritz Fuhrmann: The next question on the web is around an operational topic. What kind of compliance issues are older vessels likely to face? This is mostly driven by the CI regulation, which is being introduced as well as the EU ETS regime. Obviously, older vessels or let’s say older designs, have a higher CO2 emission and those compliances or those regulations are designed to sort of reduce regulation going forward. So, what’s the implication for older vessels, it’s either slowing down or sort of being forced out of the market and that’s also – this is also explaining a bit our portfolio optimization when selling older ships and acquiring more modern units as well as you know, investing CapEx wise in the existing fleet to make them fit for compliance going forward, but also commercially more attractive for our customers.
Constantin Baack: There is another question that I would like to read out referring to Slide 12, where we show a graph of expected supply-demand in the total market and the question is basically in earlier reports you have used a similar graph for supply demand for intra regional trades and whether we can say a few words around the supply-demand for intra-regional trades. As we have shown on Slide 12, obviously we have shown the disp – and have explained earlier the disproportionate growth in demand for intra-regional trade that has historically been there and is also expected. So, demand growth in those trades is somewhere between 4% and 5.5% to 6% over the over the last, sorry over the next 2 years to 3 years from a supply standpoint. And we obviously the order book as I mentioned is much more skewed towards the large ships. So, for vessels below 3,000 TEU, for example, the order book for next year on a gross basis is around 6% and on a net basis it’s probably around 2% to 3% and assuming scrapping of older tonnage and for 2025, the order book for up to 3,000 TEU is just a shade above 1%. So very limited, meaning if you compare then the demand – expected demand growth for intra-regional trades that will outgrow the supply growth for the next couple of years. Having said that, and there is obviously no line in the sand as also previously communicated between kind of the total market and the intra-regional market, of course the intra-regional market in general is serviced by vessels, 93% of the vessels employed there is below 5,000 TEU. But there is in any event our expectation that there will be some degree of cascading taking place, some degree of shifting port rotations. So, we clearly expect that there will also not be a scenario where the smaller vessels earn a lot of money and the larger vessels do not earn money, but it obviously is a very more favourable outlook when looking at the smaller units and intra-regional trades that we are involved in. There is one more question regarding can you comment on the current market demand for older vessels based on your recent experience and who is the typical buyer, I do assume that market demand is in this question related to acquiring, so the S&P market, the S&P market has been less active. It has actually started quite active during the first quarters to three quarters or two quarters actually, so the third quarter and year-to-date has been a bit more calm. If you look at the typical buyers, I mean you have still some financial buyers who would potentially buy vessels with cash-flow attached. The sales that we have recently conducted have to a very large extent been conducted to operators on vessels that are almost immediately available to the charter market. So, the market activity is way lower than it has been. However, deals can still be done and it’s predominantly especially on vessels that run off-charter predominantly operators looking at acquiring ships.
Moritz Fuhrmann: Next question is on the financials. So, the financial results, so what is the reason for lower results in Q3 ‘23 compared with Q3 ‘22, when earnings was higher in ‘23, and the reasons for higher earnings in ‘23 is mainly driven by a one-off effect through a commercial settlement on one of our ships bringing in $22 million on the top line or if you look at the bottom line, which are adjusted numbers, it is indeed a tad lower to what we have presented in Q3 ‘22. But this is also driven by some of the cost items, especially in times where inflation is not slowing down, so obviously costs have been going up relative to 12 months ago, but just a driver for a slightly lower net results relative to 1 year ago.
Constantin Baack: Then there is a question around the two newbuilds, the 5,500 TEU on a 7-year charter to swim, which are set to be delivered later in 2024, are the charter party agreements for 7 years unaffected by the slippage and delivery date from the yard, please. The charter party agreements are not affected. They are back-to-back with the shipbuilding contracts and there is indeed a slight delay in delivery. As is the case for most vessels being currently delivered out of Korea and/or China, but the charter parties are back-to-back with the shipbuilding contracts. So, they are unaffected accordingly. And then there is a question on the current charter rate premiums per day for eco ships, is the economic benefit of eco ships primarily driven by fuel savings. I mean eco ships have historically earned a premium that is indeed primarily driven by the fuel savings, hence are also to some extent dependent on the fuel price. Having said that, it obviously depends on the market environment and I would say in a very bad markets eco ships provide you with some protection to have the vessels employed. If you have to employ the vessel in the spot market while it’s in a more stable market environment, you actually see premiums and that depends on the vessel size, the consumption and the trade that it’s employed in. But it’s probably $200,000 to $350,000 depending on size and type of vessels. Historically, however, it needs to be viewed obviously individually and it really depends on the overall market environment. And there is another question on divestments in the near future. What is the required return rate to justify keep a vintage vessel rather than selling? We obviously look at it on a case-by-case basis as you have seen and as Moritz has presented earlier, we have divested rather smaller vessels. We have looked, for example, at vessels with open charter positions next year that we have sold or that were immediately available in the charter market and of vessels with upcoming dry dockings next year. So, it’s not necessarily a purely returned rate driven decision, it’s also a decision from an operational standpoint and what we believe will be kind of a future proof vessel. So, when we deem design to be less favourable, we have considered the sale. We would do that on a case-by-case basis going forward, always considering what kind of charters would be available in the market and also what the runway is, i.e., the remaining useful life of the vessel and because our view is that the next one to or let’s say 12 months to 18 months and even will be more challenging market environment also in terms of charter rate and hence we look beyond that and if we can operate the vessel on a pro-length basis because of the technical and specifications, the design implications, etcetera, we will definitely continue to operate ships, but again we decide that on a case-by-case basis. And I think as I explained, we have all good reasons for having sold those vessels that we have sold recently.
Moritz Fuhrmann: So, the next question is on the capital structure, can you say – so can you say something about share price relation to income and backlog? And I think we have a slide in the earnings call which speaks for itself where you can see that the core and enterprise value meaning the net interest bearing debt as well as the market cap is more than covered by the current EBITDA backlog. The project, the backlog that we have and it’s not taking into account vessels that we are about to sell. So, there is cash that is coming in onto the balance sheet and is also not taking into account the steel value of the fleet that we currently have on the water. So, in our view, there is a certain undervaluation of the stock as we speak and we do see some upside to the current market cap simply based on the backlog plus the steel value of the fleet.
Constantin Baack: And there is a question, what is the normal scrapping age for container ships in this class that you operate, do it start to scrap more ships in this market we have at the moment? And yes, we had a slide on that, Slide 14 specifically where we have shown in very much detail the average scrapping age of vessels that have been scrapped by size bracket. Specifically for the smaller sizes, let’s say 1,000 TEU to 3,000 TEU, we have seen anything between 18 years and around 13 years – 30 years in scrapping age. For example, in 2016, we have seen 19 years on average age, this year we have seen 28 years. We have hardly seen any scrapping in ‘21 and ‘22. As we mentioned during the presentation, we do expect that there will be more pressure on scrapping as scrapping is also kind of historically correlating with container shipped time charter rates. And if you – as also illustrated on Slide 14, look at the correlation of time charter rates, indices and average age at the time of demolition. You see that there is a clear correlation. So, going forward we expect that the average age of vessels to come down again, will it come down to the 2016 level in our age bracket of around 19 years that I don’t know. But it will certainly come down and we do expect that there will be more scrapings ahead.
Moritz Fuhrmann: The next question is on the balance sheet leverage is there a plan to fully repay the two revolving credit facilities in the upcoming quarters. So, as you can see that from a capital allocation perspective, we have started to repay the RCF’s not in full yet to save something on the finance cost side of things. And also after quarter end, we have continued to pay down the RCF’s and I don’t want to rule out that you would see further repayments or prepayments, I should say down to zero potentially before year end.
Constantin Baack: Then there is a question around the impact of line up blankings idling on sub-5,000 TEU vessels, vessel supply versus above 5,000 TEU sizes at present. And there is no immediate impact, I mean we have not really seen a full blanking in the smaller sizes that much what we have seen as that port rotation gets adjusted for smaller vessels on a selective basis, but a full blanking is less common on the smaller trades. We have of course seen that in the larger trades recently and it is a means of the liner companies to address certain volume constraints in a way. However, it does not have an immediate effect on our activities at the moment. There is a question, could you provide more details or insights regarding the crewing aspect? I am not really sure what is meant by crewing aspects. So, please be a bit more concrete on this question. I don’t really know what the actual essence of that question is. Then there is a question on plans on buyback of stocks. I mean maybe we can answer that more general. In terms of capital allocation strategy, we have obviously over the last couple of quarters in 2 years, as we have alluded to in the presentation, places a very, very strong emphasis on returning capital to investors with more than $700 million in dividends, we have rolled out a very clear and stringent and transparent dividend policy that is certainly on the cards. At the same time we have reduced a lot of debt. So, these two items have been a very clear focus in terms of our capital allocation strategy and that will continue. So, we will continue to pay down debt on the trading fleet. As we have mentioned and at the same time, we will continue to live up to our dividend policy. The share buyback should never be ruled out, but we believe that having a very clear path on dividends is what we have communicated. What we have lived up to and what we will continue to do.
Moritz Fuhrmann: Next question is, could you provide insights into the reasons behind the impairments on the three vessels that we reported this quarter. The reason being simply that those specific vessels had a relatively high book value compared to the remainder of the fleet that we have. So, for us it was sort of I wouldn’t say natural, but for us there was a good moment now to incur some impairments. I mean we are talking about the number around $30 million across three ships to bring down the book levels to levels more in sync with the remainder of the fleet.
Moritz Fuhrmann: And there is a question, how is it to make good soft contract with ships in the market we have now, has it stabilized at some levels or is there some who are good too? Not really sure I understand this question posted by Tron. Go back and please reconsider to repost that question. I am not really sure I fully understand it.
Constantin Baack: So, the next question is on our dividend policy. When will event driven dividends become an option again, they are an option as we speak. They are discussed on a quarterly basis with the boards. But from as you can see, I mean from a capital allocation priority perspective. The recurring dividend will stay as it is, but as you can also see that we have applied capital towards debt reduction, but also we will invest into the current fleet that we have on the water. Next question is on our counterparty risk. Can you comment on the bankruptcy risk for liner companies? This is something that obviously we will monitor on a continuous basis. I think fair to say that if you look at the balance sheet of the liner companies, they have improved significantly, especially if you compare the post-Lehman part 10 years ago, relative to now. So, the net debt to equity ratio have improved or has improved significantly, but also the cash cushion that the liner companies has assembled is also up and massively relative to 10 years ago. So, from that perspective there, there is no concern for the time being because liner companies balance sheets are just too strong and there is also no indication by discussion that we have with liner companies that anybody is not living up to their obligations.
Constantin Baack: Then there is a question on now it’s a bit more clear, could you please provide further details on the growing expenses? I am not sure what, what further details I mean growing expenses make up roughly 55% of our operating costs. As is common in shipping, growing expenses have increased certainly in 2021 and 2022, and have somewhat stabilized this year and we expect them to be kind of also slightly higher for next year, we have seen a significant increase over the last 3 years, but we do expect that they have now stabilized at a fairly high level. It’s obviously very important are the crews onboard of our ships are kind of very, very important for our operations and hence we always consider the right level of growing costs accordingly. But when you look at the overall composition of OpEx, we are still looking at kind of 55% to 60% max in growing expenses.
Moritz Fuhrmann: Alright, we will wait whether any further questions come in. I understand operator that there are no questions through the line. If there are no further questions through the web, which we cannot see coming in right now, I would hand back to you to conclude the call and see whether there are any further questions through the line. There is one more coming, one question coming in the event of substantial increase in ship scrapping, do you anticipate a decline in scrap prices, shipyard capacity and steel prices, the primary factor influencing scrap prices, how much shipyard capacity exists? If the shipyard capacity is related to recycling shipyards, usually if you are a recycling buyer, people would also buy ships and leave them next to the scrap yard, so it’s not necessarily the bottleneck. The shipyard capacity and steel price is certainly the biggest driver behind prices. We have not seen scrap prices drop significantly to the contrary, we have actually seen fairly stable steel prices when it comes to recycling of container ships at a fairly high level over the last couple of years and we do not expect that to come down anytime soon and however there are obviously various drivers behind steel prices. And then there is another question, do you see any signs that you will have to scale down the dividend policy from 75% of earnings in the coming years and I understand that it’s hard to look into the future, but it’s interesting to hear how you look at the long-term picture for this? We have intentionally kind of communicated roughly 2 years ago a very clear distribution policy with two legs, which is the recurring dividend of 75% of adjusted net profit and event driven distributions. We – as we mentioned during the presentation, are committed to stick to the 75% of course, if earnings come down; dividends come down because we do not link the distribution to cash-flow items, but rather to earnings and therefore, as explained also in the rate sensitivity slide as potentially rates come down and we roll forward, the new charters in a new – let’s say charter environment, we expect the volume of dividends to come down, but we don’t see any reason to deviate from our policy of 75% of earnings.  Then there is another question I think about latest contract you have closed. If some of them are above average rate, if you do get higher results? I try to answer that question. So what I think this question wants to ask is whether the last contracts are actually above average rates or below the current market and that’s also shown on our sensitivity slide in the deck for our basket is around $12,000 to $13,000 a day and that is slightly below the 10-year average, which is probably around $15,000 $16,000 a day for our basket. So we’re currently from a charter rate perspective, slightly lower than 10-year historical average. 
Constantin Baack: I don’t see any further questions coming in. I would like to thank the operator. And I would like to thank everyone for their interest and attention, and we are looking forward for concluding the year with what we think will be a very successful 2023 for MPC Container Ships and we look forward to 2024. And on that note, I wish everyone a very pleasant day and take care. Bye-bye.